Operator: Greetings, and welcome to the Matrix Service Co. Fourth Quarter and Full Year 2011 results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kevin Cavanah, Vice President and Chief Financial Officer for Matrix Service Co. Thank you, Mr. Cavanah. You may now begin.
Kevin Cavanah: Thank you, Ron. I would now like to take a moment to read the following. Various remarks that the company may make about future expectations, plans and prospects for Matrix Service Co. constitute forward-looking statements for the purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our annual report on Form 10-K for our fiscal year ended June 30, 2011, and in subsequent filings made by the company with the SEC. I would now like to turn the call over to John Hewitt, President and CEO of Matrix Service Co., John?
John Hewitt: Thank you, Kevin. Good day, everyone, and thank you for joining us today to discuss the results for the fourth quarter and fiscal year ended June 30, 2011. In a few minutes, Kevin will review the financial results, and I would like to briefly comment on the company's operating performance in fiscal 2011. Although fiscal 2011 was a good year for Matrix Service Co., as both revenues and backlog increased from lower levels experienced during the recession that impacted fiscal 2010, gross margins are improved significantly in fiscal 2011, reflecting better project execution and a recovery of construction overhead costs due to higher business volume and man hours. Our Electrical and Instrumentation group was a major contributor to the company's improvement in fiscal 2011 with E&I group achieving revenue growth of 58% in fiscal 2011 compared to the prior year. In addition, our Aboveground Storage Tank construction group achieved revenue growth of 35% in fiscal 2011. Growth in these groups was partially offset by continued weakness in the Downstream Petroleum market with both the Repair and Maintenance Services and Construction Services segments combining for an 8% decline year-over-year. We are, however, optimistic about the near-term prospects for the Downstream Petroleum market as backlog has increased over the last half of fiscal 2011. Finally, our balance sheet and liquidity remain very strong, positioning the company to execute on our strategic plans, which I will discuss later on this call. I'd now like to turn the call over to Kevin to discuss our financial results for the period.
Kevin Cavanah: Thanks, John. In our press release yesterday, we disclosed the results of the fourth quarter and the full year of fiscal 2011. As I go through my prepared remarks, please note that the fourth quarter and full-year results for fiscal 2010 included certain non-routine charges that were previously disclosed in our SEC filings. We did not incur similar charges in fiscal 2011. First of all, revenues for the fourth quarter ended June 30, 2011, were $164 million compared to $141 million in fiscal 2010. The increase of $23 million was primarily due to turnaround activity in the Downstream Petroleum market, new awards in our AST Construction Services segment and continued growth in our Electrical and Instrumentation, Repair and Maintenance business. Consolidated gross margins for the quarter were 12.8%, compared to 2.7% in the fourth quarter last year. SG&A expenses were 6.9% of revenue for the fourth quarter compared to 7.4% in the same period last year. This produced net income for the fourth quarter of fiscal 2011 of $5.7 million or $0.21 per fully diluted share compared to a net loss of $4.2 million or $0.16 per fully diluted share in the fourth quarter last year. Construction Services segment revenues were $86 million in the quarter compared to $87 million in the same period of last year. Gross margins in Construction Services segment were 14.2% compared to 1.5% in the prior year. The gross margins benefited from strong project execution throughout the quarter. Repair and Maintenance Services segment revenues increased to $78 million in the fourth quarter compared to $54 million in the prior year. The increase resulted from higher demand in the Downstream Petroleum and Electrical and Instrumentation markets. Gross margins in Repair and Maintenance Services segment were 11.2% in the fourth quarter compared to 4.6% in the prior year. For fiscal year 2011, revenues were $627 million, an increase of $76 million from consolidated revenues of $551 million in fiscal 2010. This 14% increase reflects improvement in many of our end markets in spite of the continued effects of the global recession. Business activity increased for our AST Construction Services and for both our Electrical and Instrumentation, Construction and Repair and Maintenance Services. Consolidated gross margins were 11.9% for fiscal 2011 compared to 9.6% in the prior year. SG&A expenses in fiscal 2011 were 7% of revenues compared to 8.2% in the prior year. Net income for fiscal 2011 was $19 million or $0.71 per fully diluted share compared to $4.9 million or $0.18 per fully diluted share in fiscal 2010. Construction Services segment revenues increased to $365 million in fiscal 2011 compared to $321 million in fiscal 2010, due to the higher demand in AST and E&I markets. Construction Services gross margins were 13.6% in fiscal 2011 compared to 10.7% in the prior year. Repair and Maintenance Services segment revenues increased to $263 million in fiscal 2011 compared to $230 million in the prior year. This increase resulted from substantially higher volume in our E&I business. Repair and Maintenance Services gross margins were 9.7% of fiscal 2011 compared to 8.1% in the prior year. Operations generated $23 million in cash flow in fiscal 2011, and the company invested approximately $10 million for capital expenditures and $4 million for an acquisition in the year, which resulted in a cash balance of $59 million at year end compared to $51 million on June 30, 2010. During fiscal 2011, the company did not draw on our $75 million senior credit facility, and at June 30, 2011, $7.5 million on letters of credit were outstanding. Our balance sheet and liquidity remain very strong, providing significant financial flexibility to address changing market conditions and emerging strategic opportunities. With that, I would like to turn the call back over to John to discuss our market outlook and guidance for fiscal 2012.
John Hewitt: Thanks, Kevin. Since joining the company in May, I've had an opportunity to visit the majority of our regional offices and have met with many of our outstanding employees and customers. I have found our executive team to be extremely competent and our business unit management teams and employees to be highly dedicated to the success of Matrix Service Co. I'm confident in all of our employees’ belief in a 0 accident workplace and live in our safety culture every day. The business has a great foundation for growth from a leadership, operations and financial perspective, and it is well-positioned in energy sector with the strong repeat client base and highly skilled operations teams. I'll be working with our executive management team over the next 2 quarters to evaluate trends in our end markets and update the company's strategic plan. The goal of strategic reviews is to be sure our tactical plans are focused and aligned with our long-term growth objectives. We will share the details of our plan in the future. However, we remain dedicated on delivering safe and high-quality construction and maintenance services to the energy industry in North America and select international locations. Matrix Service Co. will continue to invest in personnel and training to achieve world-class safety results. A little bit about the market. We've seen improvement in both the Construction Services and Repair and Maintenance Service segments in fiscal 2011, and we continue to experience a solid volume of bidding activity. Apart from the limited construction opportunities in the Downstream Petroleum refining market, the overall outlook for our core markets, such as Aboveground Storage, high-voltage electric delivery systems and power generation, is positive. Demand for our AST construction services remain high with a number of opportunities emerging in Cushing and Western Canada. And our E&I business in the northeast remains a strong growth area for the company while our excellent reputation and capabilities should allow us to add new customers as we look further to expand geographically. Our Refining and Maintenance and turnaround business is stable. However, we expect to see an uptick in revenue throughout the next few quarters. Finally, our newly added engineering capabilities in the bulk material handling sector should produce additional engineering and construction opportunities in both power generation and raw materials transportation market, as well as entering into the mining and minerals industries, both domestically and internationally in the coming year. From a guidance perspective, given the positive outlook of our base business, our core markets with the backlog, as Kevin have discussed, of $405 million at the end of June 30, 2011, we expect revenues to increase in fiscal 2012. Revenues are projected to be between $650 million and $725 million with earnings per fully diluted share in a range of $0.75 to $0.95. Our business will continue to be seasonal due to various factors including weather, client spending patterns and energy demand. And these factors may result in earnings fluctuation during the fiscal year. While we continue to expect modest growth in the overall economy and we are confident that our financial strength, high-quality customer base and highly skilled and competent employees position the company to achieve profitable growth in the upcoming fiscal year. With that, I'll open the call up for questions.
Operator: [Operator Instructions] Our first question today is from the line of Rich Wesolowski of Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: First, roughly, what share of your new tank construction work in revenue or in backlog comes from Cushing specifically versus anywhere else?
Kevin Cavanah: Yes, I would say that our Cushing AST work, I'd say it's probably a little over half of the total AST new construction at this point. I would say, long term, that might change. We're seeing a lot of opportunities elsewhere in Western Canada and in a lot of other places in the U.S.
Richard Wesolowski - Sidoti & Company, LLC: What are you midstream customers saying regarding the duration of strong activity in Cushing and then, separately, in other regional terminals?
John Hewitt: I don't -- this is John. I mean, right now, we're not either seeing any softness in our work in Cushing and other storage locations, nor are we hearing anything from any of our clients. Our expectation through the course of this coming -- this fiscal year 2012, is that we'll continue to see the types of revenues that we saw in the 2011, if not a slight marginal increase.
Richard Wesolowski - Sidoti & Company, LLC: Okay. On the guidance, your backlog is up some 15% from a year ago and the bottom half of the guidance implies sales growth in the mid-single-digits, which seems out of sync to me. What prompted you to put the bottom half of the range so low relative to the positive commentary from the customers and relative to your own recent bookings?
John Hewitt: I would say that -- I mean, it's probably fairly simple and the same thing that's troubling a lot of other people is while we feel very good about our business, we feel good about our positioning. Our bidding activity is strong in most of our markets, but the general uncertainty around the economy, and at the national and the global economy, had to put us in a bit of a conservative thinking about what the next 12 months will bring. So the low end of our range is primarily driven by our uncertainty around that.
Richard Wesolowski - Sidoti & Company, LLC: So it's more sentiment driven and not anything tangible that is changing your bookings, say, in the September quarter?
John Hewitt: I would say over the last couple of months, our -- like I said, our bidding activity has been strong, if not stronger than it has been over the last 6 months, and our trend, our booking trends and our bidding trend is up. So from that perspective, from that -- if that was the lone perspective, we would feel good about the mid to higher end of our range, but with what's going on in the national economy and around the globe, we have some concerns like everybody else does.
Operator: Our next question is from the line of Matt Tucker of KeyBanc Capital Markets.
Matthew Tucker - KeyBanc Capital Markets Inc.: Just to follow up a little bit on the guidance. If we look at the midpoint, I believe it does suggest some margin expansion, although it may be kind of incremental. But would you kind of see that as coming more some pricing utilization? Is it the operating leverage? Could you give little color there, please?
John Hewitt: I think, and Kevin can chime in, I think there's a little bit of both. I think there's some operating leverage that increased volume. I think that some of our businesses -- right now, what we're seeing on the bidding activity will allow us to get up a couple of additional points on some of our projects that we're bidding. But I'd say overall, anticipation for '12 would be gross margins in a similar range as '11.
Kevin Cavanah: I would agree with that from a consolidated perspective. I think if you look -- break down the 2 segments, I think Repair and Maintenance was -- the margins were a little low in fiscal '11, and we saw that throughout the year. Longer term, we'd expect those to improve a little bit. Construction Services margins were very strong most of the year and great project execution. As we expand into new markets on the construction side that we might see the mix of work change so that the margin opportunities may be a little bit different in the future. We might see margins a little bit lower in construction on a consolidated basis.
Matthew Tucker - KeyBanc Capital Markets Inc.: Okay. And I guess if you break down fiscal '11, it was kind of a tale of 2 halves in terms of the margins with the second half being a lot stronger. So are you expecting -- assuming that execution remain solid, can you do -- can you continue to do kind of more of the second-half-type margins? Or are you expecting, as you alluded to, this mix shift, are you expecting it actually to trend down more towards the margin for the full year?
John Hewitt: No, I think what we're seeing in our -- as Kevin said in the mix, because we have a mix that -- it’s obviously a mix of businesses and types of the contracts in our portfolio. Some are, by nature, a little lower margin than others, but based on what we're seeing in bidding activity in a similar nature to the back half of fiscal 2011, we have an expectation that 2012 will be more like the back half of 2011 than the first half.
Kevin Cavanah: The only exception I would say would be is, as you recall in the third quarter, our Construction Services margins were, I think, over 16% if I recall. And that is due to some activities [ph] that were probably a little higher than normal. I don't think we would expect 16%, 15% gross margins on Construction Services. I mean, more in line with the full-year average would be more what we would expect.
Matthew Tucker - KeyBanc Capital Markets Inc.: Great, and then one last one, and I'll jump back in the queue. When you think about your revenue guidance, can you give us a sense in terms of the end markets, which you expect to be kind of the leaders and the laggards there? You already kind of mentioned that Downstream Construction, looks like it continued to lag and that AST might be kind of flattish to slightly up. Could you kind of highlight the other kind of key drivers there?
John Hewitt: Well probably 2. One would be our high-voltage delivery markets where we're doing work in the substations and in the short run, Transmission and Distribution both on the maintenance side and the capital side. We're seeing extensive amounts of bidding activity there, and the size of the projects are larger than what we have seen over the past few quarters. So we expect that the E&I business will be one of the -- certainly, one of our strong points in fiscal 2012. The other thing is that we've mentioned before the -- or we mentioned in our release here about our acquisition on the material handling. We believe that, that -- we're seeing a fair amount of bidding, good bidding activity there both on the domestic and international side, and we think that, that's got some good potential for us for growth through 2012.
Operator: Our next question is from the line of Matt Duncan, Stephens.
Matt Duncan - Stephens Inc.: The first question I've got is just on the sales number from the quarter. If I remember correctly, it looks like the revenue came in a tiny bit below what you guys were expecting in the quarter. What changed from May through the end of the quarter? Was there anything that shifted to the right? Did you face adverse weather conditions? Sort of what caused the number to be a little bit below what you had expected in the June quarter?
John Hewitt: I think it's a little bit on timing on some of our projects, when they occurred, when they moved. There wasn't any specific contracts that were canceled, but I would say, most -- probably the majority of that was related to timing of when we expected a bid in versus when it's going to come in or an award. And so there can be some month-to-month movements in our business with our contracts.
Matt Duncan - Stephens Inc.: Sure, absolutely. And then focusing on more -- a little bit more detail on the E&I segment, the construction number there has been down the last couple of quarters. I know you guys had a big project back in the second half of calendar 2010, the first half of your fiscal year. It sounds like the bids that you're seeing today are for some bigger projects. Are they -- so does the bid level that you're seeing today for E&I construction suggest that you can start getting back to the revenue numbers that you put up in the September and December quarters for that E&I business?
John Hewitt: I don't know if I could specifically say what those revenues numbers would be, but I would say that our anticipation is that through the course of the calendar year, in the fiscal year, that our month-over-month or quarter-over-quarter, our revenues in the E&I business will grow rather than stagnate. The first -- certainly, the first quarter here is going to be a little off. The majority of that business for us is in the East Coast. And with the results of Hurricane Irene, although we were involved with some of the remediation work that went on there, some of the work that the power companies and utilities were doing in that area were basically put on hold for 2 to 3 weeks until they got everything back up online. So there may be a little bit of a deflection here in this quarter, but overall, through the course of the year, we have an anticipation that our E&I business will grow through the year.
Matt Duncan - Stephens Inc.: Okay. And then the last thing, kind of getting back on your guidance, just to make sure I understand you correctly. It sounds like the upper half of your range is probably, really where you see the year shaking out. The bottom half of the range is conservatism based around macro uncertainty. Is that a fair way to think about the guidance?
John Hewitt: Yes.
Operator: [Operator Instructions] The next question today is coming from the line of Martin Malloy of Johnson Rice.
Martin Malloy - Johnson Rice & Company, L.L.C.: Could you talk a little bit about the AST business outside of Cushing? And I guess, in terms of when you look at the oil rig count climbing in different areas of the country that it’s been climbing as well as the NGL production, could we see this business pick up meaningfully going forward?
John Hewitt: I would say in 2 -- couple of things there. One is the -- like we said, we continue to see the business, our base in Cushing, to be strong. We're growing our business in Western Canada. Other parts of the country, we don't see the -- there's bidding activity and while we don't necessarily see the same margin levels in the small pocket areas outside of Cushing, we would say that -- I would say that our bidding activity continues to be strong throughout North America related to storage requirements and that the -- on a global basis, the 3- to 5-year forecast in storage demand is continuing to be up, which is part of the reason for our focus on an international perspective to export our know-how related to tanks and -- Aboveground Storage Tanks and terminals. On the natural gas side, that's -- well, we think long term that's going to be a strong business line for us. As that market unfolds, depending on the price of gas and going forward, energy demand drivers in the country related to power generation or offshoring liquid natural gas or chemical plant feed stock, all those things, we believe in the long term will help be a growth area in our business, combined with our capabilities with our engineering groups around dealing with the cryogenics and cold chemical applications, we think all puts us in a pretty good position going forward over the next 3-year period for it to become a nice chunk of our business.
Martin Malloy - Johnson Rice & Company, L.L.C.: Okay. And could you comment about the recent weather in the mid-Atlantic and the impacts on your E&I operations there?
John Hewitt: Yes, what we did is that we’ve -- over the past years, we've increased our capability and skill sets related to transmission and distribution. We're not interested in doing the state-to-state long-haul type of transmission and distribution. It's more the smaller type systems, the 5, 10-mile type stuff, 25 mile. And as a result of that, of our Eastern business unit growing those skills sets, we were in a pretty good -- plus our reputation with our prime utility clients in that area and our contractors of choice, our arrangements with them. When the Hurricane Irene hit, or as it was coming up the East Coast, we put over 100 people in place in certain defined areas with a utility client to provide immediate service to repair downed power lines and other parts of the distribution system, and that went very well. So that was a -- for us, largely a reputation builder, although it certainly is profitable work for us, but it's a reputation builder. It gets us closer to our clients. It gives us opportunity to bid on other transmission and distribution type projects, a little bit outside of what we normally do for those clients. So it's to allow our normal day-to-day, day-in business that we're doing for them and for other people to get shut down during these kind of weather events, we were able to perform other work for them in doing these repairs and replacement.
Martin Malloy - Johnson Rice & Company, L.L.C.: Okay. And then just one final question, could you give us a few more details about the material bulk handling business, what exactly are you doing there? Is it for power plants and coal mines moving coal? And is there the ability to grow this business and maybe work internationally as well?
John Hewitt: Yes, what we've done is that we purchased a very small engineering company in northern New Jersey. They provide engineering and procurement type services related to bulk material handling. So when we're talking about bulk material handling, we're talking about moving some kind of a raw ore or material from point A to point B, and that could be either loading or unloading ships. That could be transportation of coal from a coal pile into a coal power generating station. It could be moving ore in a mining -- in either a ferrous or non-ferrous mining activity from the mine to a processing station or grinding station or ball mill. So they do that design work and that procurement. The construction of that -- so we're able to take that engineering and procurement skill set that they have, combine that with our North American construction presence and offer anything from an EMP to EPC type of opportunities for a variety of clients in power generation, materials transportation, mining and metals, the steel companies. So there's a lot of opportunities we think there for us to build on their business. They were a smaller company that was limited, to some extent, by their depth of resources and their balance sheet. So we're able to provide those strengths that they were missing to be able to grow that business. And in addition to that, that they are able to -- they also provide an offshore opportunity for us where we can essentially provide the engineering and procurement services, put those -- in essence, put those drawings and equipment parts on a barge and send those offshore for our client to erect or install where we don't have to get physically involved on a sea base for those projects. So we have high hopes and opportunities. We think that this combining of their business with ours is going to provide a nice growth engine for the company.
Operator: Our next question is from Richard Wesolowski of Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: Is there a great disparity in the competition in the tank work bid in Cushing versus that at other terminals for Matrix?
Kevin Cavanah: No, I don't believe, overall, there's that great a disparity in the competition. We just had great success in Cushing. We see a lot of the same players when we bid other tank jobs throughout the U.S.
John Hewitt: And we have some pretty steady, we have -- you see a lot the same steady clients in Cushing. They're very happy with our safety performance, our level of quality we provide. We meet or beat our schedules. They're satisfied with our pricing levels. So we get more than our fair share of work in Cushing. A lot of it's based on our past performance and reputation.
Richard Wesolowski - Sidoti & Company, LLC: Okay. Separately, could you review the company's capabilities with regard to natural gas infrastructure, treatment plants, compression stations and pumping stations? And maybe give an overview of how you're aiming to tackle that market which has been underserved, we’ll say, in the past.
John Hewitt: I would say we're -- over the next 2 quarters, we mentioned that we are kind of taking a bottoms-up view of our entire strategy. Certainly, how we benefit from the natural gas value chain from the wellhead to the user is going to be something that we're going to be working on. In general, I think we have a lot of the skill sets required to work in those -- along that value chain. We've got the ability to do compressor stations. Certainly, we have all the skill sets to do storage in pumping stations. And we have skill sets in LNG. We have skill sets in power generation, and we have skill sets working in refineries and in chemical plants. So we got all the pieces as a company to be able to take advantage of that value chain. The thing we want to do is get practically focused on that value chain as a business for which pieces we think we're going to want to play and operate in, and that will be something that will fall out of our strategy development over the next 4 months.
Richard Wesolowski - Sidoti & Company, LLC: Okay. If you haven't said it already, how much of your fiscal '11 sales came from Canada?
Kevin Cavanah: It was probably a little over 5%.
Richard Wesolowski - Sidoti & Company, LLC: Okay. Is there a tangible push within the company to raise that share into greater -- penetrate Western Canada, specifically?
Kevin Cavanah: Yes. Longer term, I think we would expect to see Canada increase to 10% and exceed it. The growth opportunities in Western Canada are significant, and even in Eastern Canada, we're seeing some good opportunities there.
John Hewitt: It certainly is part of our strategy too is looking at our geographic diversity and, obviously, straight to Canada, the province of Ontario, in particular, is how we may bring our services into -- to get to take full advantage of all the industrialized areas in Canada.
Richard Wesolowski - Sidoti & Company, LLC: Okay. And then lastly, in the last couple of calls, John, both before and after you were at the helm, the company has expressed a desire to move internationally, which I’ve taken to mean outside of North America, not just into Canada. And my question is, with so much going on in North American energy infrastructure, what is the give-and-take between taking on what I sense would be riskier projects internationally when there's a lot of opportunity here at home?
John Hewitt: That's a good question and a good comment about Canada. Canada and United States are 2 countries separated by a common language, so we don't necessarily see them as international. But we think that as a business, to continue to be sustainable and consistent, we need to have a piece of our portfolio that has some international aspect to it. And so we have 2 areas that we're going to be doing that on. One is, I talked about on the material handling business. The other piece is, as a contractor, we have to be able to take offshore our know-how, what's our strongest suit, and obviously, this company has got extremely strong position in know-how and history in the construction of Aboveground Storage Tanks and terminals. So we have very selectively, in Latin America and South American markets, selected countries that we think that we can operate the most successfully in. We're taking that at a very, I would say, at a very conservative and slow pace. We've bid 2 or 3, what I would call, important significant projects down there, have been close but have not won those but we're not willing to go buy a job. And so we're going to continue to work at that and try to develop those opportunities in Latin and South America where we can expand our tank business.
Operator: Our next question is coming from the line of Chris Ian [ph] with Honolulu Capital Advisors [ph].
Unknown Analyst - : John, Kevin, I don't know if you can help me on this, but I was looking at the plans on [ph] America presentation yesterday, and they talk about phases 9, 10 or 11 being finished by the end of -- in the second half. Can you just sort of give us an update in terms of where you are in progression with that and how big phase 11 is relative to 9 and 10 in terms of tanks and, generally, where you are along the line on that?
John Hewitt: Well, you win the award for the stump the panelists question of the day. I don't have a specific answer on that. We can take a look at that and certainly get back to you on that question. I don't have that in front of me.
Unknown Analyst - : Okay. And just one other quick question. Magellan, I think they’ve also indicated that they're looking at 3 areas where they could be adding storage. Have you worked with them outside Cushing?
John Hewitt: Yes. Yes we have. In both Aboveground Storage Tanks and -- conventional Aboveground Storage Tank and spheres.
Operator: Our next question is from Matt Tucker of KeyBanc Capital Markets.
Matthew Tucker - KeyBanc Capital Markets Inc.: Looking at the fourth quarter awards, could you give us a sense of the mix in terms of the end markets?
Kevin Cavanah: Yes, looking at that, I don't think there was one individual market that just dominated the awards. It was good to see that the backlog additions throughout the quarter were hitting most of the markets.
Matthew Tucker - KeyBanc Capital Markets Inc.: And thinking about 2012 backlog, the trajectory there, kind of putting macro uncertainty aside, based on the visibility you have with the current bidding activity, would you expect to grow your backlog next year?
John Hewitt: Yes, we would. That would be -- we would anticipate that.
Operator: Our next question is from the line of Mike Harrison with First Analysis Securities.
Michael Harrison - First Analysis Securities Corporation: Was wondering if you could comment a little bit on the competitive environment you're seeing in the Repair and Maintenance side of the business. It looks like margin, gross margin showed a nice step up, and I'm wondering if you can comment on was that a product of the competitive environment improving, was it you guys being a little bit more selective on what kind of projects you're doing. Or kind of what's the driver there and how sustainable is it?
John Hewitt: I think part of the answer -- I mean, you said a couple of the answers there. One is the competitive market there continues to be strong, or weak, I guess, depending on what your viewpoint is there. But there's -- certainly, when we bid a repair and maintenance job, there is more bidders than there are ones where we can bid a capital project either an Aboveground Storage Tank or a large refinery turnaround. So those are -- that lowers the suite of people that can bid that. So when there's more people bidding the small repair and maintenance type activities, the margins have a tendency to be lower. But I think we've -- there's been some -- over the course, probably in the last 6 months, there's been some fallout of some of those bidders that just aren't able to compete anymore. For instance, I know in our Western U.S. operations, some of the people that we competed with out there have either gone out of the business or decided to leave the Western U.S. for other markets, so I think to some extent, that's helped to buoy up some of those pricings.
Michael Harrison - First Analysis Securities Corporation: And then, in terms of the E&I market and the commentary you had around the mid-Atlantic weather, Hurricane Irene, et cetera. I tend to think of the emergency type business as being higher margin or higher priced than your sort of normal business you're doing in E&I. So is it fair to assume that we might see a little bit of a dip on the revenue side in E&I next quarter, but see a benefit in margin that's actually more than offsets the lost revenue?
John Hewitt: I can't -- I mean, any kind of mathematical combination is possible. We're just basically coming down off of -- and kind of getting back to some normalcy in our E&I business on the East Coast from that repair and maintenance. We had a couple of weeks there of some pretty strong work with upwards of 130 people out doing the repair and maintenance for long hours during the course of a week. And -- but we have not -- I can't tell you whether the combination of shorter -- of smaller revenue, higher margins mathematically on a net-positive basis replaced higher revenues, lower margin work or whether that's a net increase for the business. We're just not there yet.
Michael Harrison - First Analysis Securities Corporation: And then, last question is really on the kind of downstream refinery construction side. Just given your commentary about your customers being a little bit healthier there and your expectations of improvement there, I guess I was a little bit surprised to see the construction topline be as weak as it was this quarter. Can you just give us a little bit of a sense of kind of what's that project timing or what was going on in this quarter and what are your expectations as you look out a couple of quarters?
Kevin Cavanah: You see, no, I think that the backlog roll off is something that we continue to look at. Now for the fourth quarter, for Construction Services, there were a couple of projects that slid a little bit. I don't know that it was a game changer, but it did come in below our expectations on the other side. There were some projects on the Repair and Maintenance side that grew from what our expectations were.
Operator: Our final question is from the line of William Bremer from Maxim Group.
William Bremer - Maxim Group LLC: Can you provide what your competitive advantage is in the E&I sector? And then, I guess my second question is what is the highest kilovolt that Matrix is able to operate on?
John Hewitt: Part one, I would say, some of our -- on the East Coast, some of our competitive advantage there, I think we've got extremely good relationships with the building trade unions in that area particularly the IBEW, so we work very closely with them. Two is, is that our performance both on the reputation from our -- we had, over the past few years before I got here, had done acquisitions from Bogan Electric, and then with the last 2 years, S.M .Electric. Both of those companies had strong brand recognition in that area. So those companies mixed with Matrix's performance characteristics has created sort of a lot comfort with our utility clients there where we're the contractors of choice for them. We deliver for them on a day-in, day-out basis. So they know when they -- on the projects they have that they award to us, that we're going to get those done and we're going get it done in a timely fashion, and they're going to be safe and high-quality. So I think those kind of things, for us, is one of the -- those are some of the key drivers from a competitive basis for us. As it relates to the -- I'm a Civil Engineer not an Electrical Engineer, so I can talk in kips and I can talk in molars [ph] and loadings, but kilovolts and amps, I think are a struggle for me, so I'm unable to tell you the highest voltage that we're able to work on. But I will tell you that, certainly, the delivery of electrical energy across transmission distribution line is, for the most part, all extremely high voltage in the 13 kv and up, and so we're able to work on safety and work on all those types of systems.
Matthew Tucker - KeyBanc Capital Markets Inc.: Should we be expecting an increase in CapEx in this particular segment going forward?
John Hewitt: Some of the drivers in that business are -- there's obviously the normal maintenance and repair type things, systems and transmission distribution, delivery systems just get older and they got wore out. There's what we call congestion relief issues mandated by FERC, that as a utility business, that they have to, or are mandated to make upgrades and changes for that. And then, there is the renewable space which is growing in a lot of places around the country, has to have interconnect areas, and so as that business -- as renewable generation comes online, their interconnect requirements also grow and so that's another in which we're able to provide services.
Michael Harrison - First Analysis Securities Corporation: And then lastly, can you provide us, what -- how much did emergency restoration provide you for the quarter, and do you expect some of it, potentially, to fall into the first quarter year?
John Hewitt: I would say that, to date, we have not -- like I said, we just are now sending our crews back into what I would call normal operations. So I don't have -- we don't have those numbers available today on what that looked like. Like I said, we had approximately, at peak, 130 people working 16, 20 hours a day for 2 to 3 weeks for preparation and repair after Hurricane Irene. Those final numbers, whatever that -- would come out in our first quarter results.
Kevin Cavanah: I would say that in the fourth quarter, I'm not sure there was that much emergency restoration work in the E&I revenues.
Operator: There are no further questions at this time. I would like to turn the floor back to management for closing comments.
John Hewitt: I want to thank everybody for being on the call, for some great questions. And we look forward to talking to you in the next quarter.